Operator: Good day everyone, and welcome to Groupon’s fourth quarter and full year 2012 financial results conference call. [Operator instructions.] For opening remarks, I would like to turn the call over to the Senior Director of Investor Relations, Genny Konz. Please go ahead.
Genny Konz:
Andrew Mason : Thanks, Genny. Q4 provided the best evidence yet that customers love Groupons. First and foremost we had our strongest sequential increase in absolute billing dollars in our history, growing more than $300 million, stronger than our previous record by over $40 million, and growth reaccelerated to 25% quarter over quarter. The billings growth was across the board, with local travel and goods both in North America and international all seeing strong sequential increases. We also set a new unit sales record in Q4, exceeding 50 million sold for the first time. This is proof once again of the power of our buying platform and network that didn’t exist just a little over four years ago, and now supports over $5 billion of commerce. Executing on our belief that scale does matter in this business, our results reflect the deliberate and aggressive focus on growth of our platform and segment market share as well as our willingness to trade off short term operating profitability. We expect our operating margins to improve in 2013 as we fine tune our take rates and automate manual processes that will significantly improve our cost structure going forward. We’re also reiterating the long term operating margin targets that we’ve shared with you previously. Excluding stock based compensation and acquisition related expenses, our operating profit came in at $14 million in Q4. There were three main drivers of what we expect to be a temporary reduction of operating margins. First, Q4 is a seasonally strong quarter for our goods business. As we’ve discussed before, growth of goods, the direct portion of which carries lower margins, has impacted our overall margins as it has grown materially over the last few quarters, reaching an impressive $2 billion annual billings run rate in Q4. Second, we reduced local margins in the quarter as part of an aggressive campaign to drive growth by attracting more top merchants to Groupon. While we believe marketing will always be an effective growth lever for us, our results show that it is not the only way to accelerate top line. By lowering deal margins, we created more value for our merchants, which enabled us to improve our merchant and deal quality. These actions not only drove demand and improved the customer experience, but also helped us make some of our largest ever sequential gains in the North America segment market share in Q4. These strategic factors were anticipated. It was continued volatility in our international business that drove the weaker than expected profitability in the quarter, including several charges that we do not expect in Q1 and beyond. We still have much work to do to bring our international operations to the same level of those in North America. Despite lower profitability in the quarter, we saw healthy demand. Global units grew 21% year over year. Mobile continued to grow rapidly, with nearly 40% of North American transactions now in mobile devices, up 44% compared to a year ago. And the search marketplace we recently launched and highlighted in last quarter’s call is helping to decrease our dependence on the in box. In North America, for example, email, and this includes mobile email, now drives less than 50% of our transactions, 12% lower than even last quarter. In addition, about 50% of local transaction volume comes not from the new deals that we launch in a given day, but from our Deal Bank, which is our virtual deal inventory. We continue to recruit new inventory to support both Deal Bank and the search experience, and have grown the number of active deals in North America almost 300% year over year to nearly 37,000 at the end of the fourth quarter. It’s hard to believe that just a short time ago, we were a deal a day business. As you can see, our business continues to evolve at a breakneck pace. Just look at the scope of the changes in the last year: from skyrocketing growth in mobile to about half of our local purchase volume in North America coming from Deal Bank, the changes in the competitive landscape, to the trends in our international segments, to hitting a $2 billion annual billings run rate in the goods business, which is just a year and a half old. Most of these changes are good for Groupon, as evidenced by our reaccelerating growth and strengthening market leadership position, but they drive short term volatility in the business. So while we are in somewhat uncharted waters, with multiple large-scale and fast-growing businesses, I want to be clear that our vision to be the operating system for local commerce remains at our core. There is no one better positioned than Groupon to meet the needs of consumers and merchants in today’s $3 trillion local marketplace. That we’re also rapidly becoming a leader in curated ecommerce in parallel is a clear vote of confidence from our 41 million active customers and a hint of the size of the opportunity that lies ahead. Before Jason joins us, I’d like to welcome Kal Raman, our chief operating officer, to provide an overview of the actions he’s driving to improve efficiency in our cost structure.
Kal Raman: Thanks, Andrew. Before I dig in, I just want to say a quick hello to those of you whom I haven’t met. As Andrew mentioned, today I want to talk about Groupon’s evolving cost structure. I’ll also provide a brief update on the turnaround of our international segment. When I arrived nine months ago, one of my top priorities was to turn innovation inward to automate and optimize many of our internal processes. Based on my experience at Walmart, Drugstore.com, Amazon.com, and GlobalScholar, I immediately saw in Groupon an amazing business that had [unintelligible] on hiring people very quickly. As a matter of fact, an incredible 10,000 people distributed across more than 500 markets in 48 countries in its first three years, in order to scale and grow its market leadership position. Also, I saw that Groupon was overflowing with opportunities to operate faster and more efficiently by automating the manual processes and improving the experience for our merchants and consumers. Bottom line, I saw the opportunity to do more with less, and sustainably improve our cost structure. I of course also saw a big challenge. Let me provide a few anecdotes that got me really excited about this opportunity. We had hundreds of people spending their days copying and pasting data from external systems into our customer relationship management system, and city managers doing their market planning on white boards and in Excel spreadsheets. And there was a common ratio when comparing our segments, that is 2:1. The number of individuals that touch a deal in international is more than twice that of North America, and the average sales rep in North America drives than 2x the sales than the representative in international. That is an enormous opportunity to augment Groupon’s operations to be both more efficient and get us closer to our merchants. I am very pleased with the progress we are making. The last nine months, we have released a suite of internal productivity tools that span our sales cycle from identifying to qualifying to closing the best merchants. We have already begun to realize the benefits, with significant improvement in productivity in North America over the course of 2012. We expect the early success we have had with our automation efforts to continue, and we also believe improved efficiency will be reflected in significant SG&A leverage over the next few years. Turning to our international business, we still have our work cut out. My focus is on technology and improving efficiency, which supports Groupon’s top priority for 2013. We call it “One Playbook.” Rolling out the consumer and merchant experience that has driven growth in North America over the last two years, we have made some progress in our international segments. Merchant and customer satisfaction scores have improved in almost every country over the last six months. The rollout of our internal tool suite is well-underway. Our personalization technology smart deals is live in the U.K. and will be rolled out in most top European markets by Q2 of this year. While European productivity reached an all-time high in Q4, it still significantly lags the United States. The tools and processes we recently put in place will both make us more nimble and efficient in our day-to-day work, and it will also allow us to substantially reduce cost and the headcount leverage we have over time. We believe that we’ll be able to sustainably reduce our cost structure in the first half of 2013. Of course, we will keep you posted on the progress on this front. Our work on the international turnaround is very much a work in progress, and you should expect that it will take us some time. But I feel very good about the early progress we have made. Now, I’ll turn it over to Jason Child to take you through the numbers.
Jason Child : Thanks, Kal. With our detailed results available in this afternoon’s press release, I’m going to run through the highlights of our performance and then provide our outlook for the first quarter of 2013. Please note that all comparisons refer to year over year growth unless specifically stated otherwise. Despite some operational challenges, 2012 was a solid year for Groupon overall. Billings, or platform growth, of 35%, or 40% excluding foreign exchange, was about in line with our expectations at the time of the IPO a little over a year ago, and we reached operating profitability for the first time for a full year, with both the North America and international segments posting annual operating profits. Now let me turn to some highlights for Q4. Gross billings grew 25%, excluding FX. Again, this was the strongest sequential increase in absolute dollars that we’ve ever seen, as well as the strongest sequential percent growth we’ve seen in six quarters. Excluding FX, North America led the growth, up 52%, while international was up 9%. Revenues grew 31%, excluding FX, due to the growth of direct revenue, which is accounted for on a growth basis. Strong performance in North America was offset by declines in international. We reported an operating loss of $12.9 million in Q4, including $26.6 million to stock based compensation an acquisition-related expenses, and $16 million of depreciation and amortization, compared with an operating loss of $15 million in the fourth quarter of 2011. North America segment operating margin was 4.5%. International segment operating margin came in at negative 1.3%. The segments include an $8.5 million impact of an update to our intercompany headquarters allocation, which resulted in a one-time increase to North American opex and a corresponding decrease to international opex. We recorded a net loss for the quarter of $81.1 million, or $0.12 per share, reflecting $26.6 million of stock based compensation and acquisition-related expenses, and a share count of 655.7 million. This compared with a loss of $65.4 million, or a loss of $0.12 per share, in the fourth quarter of 2011. Excluding a $0.07 charge in the fourth quarter of 2012 related to a non-operating item, the loss per share improved $0.07 year over year to $0.05. I’ll discuss this further in a moment. Free cash flow in Q4 was $25.7 million, bringing in free cash flow for the trailing 12 months to $171 million. Cash flow in the quarter was impacted by seasonal investments in goods inventory, as well as reductions in payable days, especially in Europe. Finally, as of December 31, we had $1.2 billion in cash, and no long term borrowings. Our cash balance increased versus last quarter, as it has every quarter since being a public company. We continue to be pleased with our flexibility and strong balance sheet. Turning to some key operational metrics, global units, defined as vouchers and products ordered before cancellations and refunds, exceeded $50 million for the first time in the fourth quarter, growing 21% year over year and 19% versus last quarter, which is the strongest sequential growth we’ve seen in six quarters. Now I’ll turn to our primary top line drivers, our customers and how much they spend. Our active customer count grew 22% to $41 million, with gross customer additions partially offset by higher customer inactivations. For the first time this quarter, we’re breaking out active customer count by segment. For North America, our active customer count also grew 22% year over year to $17.2 million in the fourth quarter. For international, it grew 21% to $23.8 million. The detail for historical quarters can be found in our press release. Trailing 12 month billings per average active customer declined 23% year over year, and 3% quarter over quarter to $144 on a global basis. Sequential improvement in North America was more than offset by a decline in international. While the [2TM] metric is a good long term indicator of wallet share, it combines the effects of over four quarters, and thus does not capture the strong sequential growth we saw in the latest quarter. Looking at the metric on a one-quarter basis provides a different result, with sequential lift from $31 to $38, driven by billings reacceleration in both segments. Now I want to provide some additional color on a few items. First, let me speak to the operating profit decline versus last quarter. In addition to continued challenges in international and growth of the lower margin direct business, our margins were impacted by our conscious decision to invest in the growth of our local merchant base and test supply elasticity by flexing deal margins. This contributed to strong sequential billings growth as well as solid double digit growth in both active deals and units in North America and overall improvement in deal quality metrics. As Andrew mentioned, we’ll fine tune our take rates further in 2013. We refined our approach as we exited the quarter, and expect local margins to increase in Q1. Also, as a reminder, our third quarter was benefited by an $18.5 million one-time true up in breakage due to a German tax ruling. Second, global revenue growth was driven entirely by an $80 million quarter over quarter increase in direct revenues, or those related to the business for which we take title to inventory and sell product directly to the consumer. Third party revenues, or those accounted for on a net basis that are related to sales for which we act as an agent for the merchant, declined about 2% globally quarter over quarter. But let’s focus on North American revenue growth for a minute. While we continue to be very pleased with the growth of direct revenues, which are primarily related to the goods business, it’s important to understand what we’re seeing in third-party revenues as more than 80% are related to our local business. Third-party revenues increased 5% quarter over quarter in North America in Q4. While local revenue growth was impacted by margin reductions, it grew nicely on a platform basis. In fact, local unit growth accelerated from 6% quarter over quarter in Q3 to 20% quarter over quarter in Q4. Even more impressive, year over year local unit growth accelerated from 3% in Q3 to 25% in Q4. Both quarter over quarter and year over year growth were offset in part by declines in purchase price. Third, recall that we broke out direct versus third-party cost of revenue for the first time last quarter, in order to give visibility into the margin structure of the direct business. In addition to cost of inventory and shipping that are specifically attributable to direct revenue transactions, we’ve allocated other variable costs such as editorial, technology, and web hosting, based on relative gross billings. Direct continues to comprise the majority of cost of revenue. On a consolidated basis, the margin after all variable costs was 3% for direct and 85% for third-party. As you compare them, note that direct gross margins include revenue on costs for shipping as well as the cost of fulfillment, while third-party margins are relatively high as they do not include the significant costs of our sales force recorded within SG&A. I also want to comment quickly on the sequential decline in direct margins. Specifically, North America dropped from 13% last quarter to 6% this quarter, driven mostly by higher holiday discounts. International direct margins were negative 40% in the quarter, compared to negative 1% last quarter. Keep in mind that international direct revenue is only $16 million, and was influenced by a small number of negative margin strategic deals. We expect international direct gross margins to look more like those in North America over time. We also believe we’re on track to achieve our long term targets for operating margin, excluding stock based compensation and acquisition related expenses of high single digits for the direct business and 25-30% for the third-party business. The high single-digit target for direct assumes little overhead cost, given the low relative support requirements of the business. Given all the moving pieces here, we’ve included an illustrative P&L that builds to these targets in the slides posted on our website. Keep in mind, though, as we run the business, these targets are not timed out, particularly as we invest for the long term and we manage to absolute dollars rather than to margins. Fourth, we recorded a $56 million pretax non-operating gain in Q2 related to to the exchange of our minority interest in our China operations for our minority position of Life Media Limited, or F-tuan, a leading competitor. The investment remains on our books today as a cost method investment, and is monitored continuously for impairment. The latest financial projections received from F-tuan indicate significant declines in forecasted revenues compared to the original expectations on which our investment was based, due to the intense competitive environment. As a result, we recorded a $50.6 million pretax impairment charge in the fourth quarter, which represents the reduction at fair market value from $128.1 million at the time of our original investment. The loss is recorded within the interest and other income net line item in our P&L. Given the gain that we recorded in Q2, there is no material pretax impact for the full year. And finally, as it pertains to the material weakness designation that arose in connection with last year’s audit, we are pleased to share that we have concluded that our internal controls over financial reporting are effective as of December 31. The effectiveness of our internal controls was tested by our auditors as part of this year’s year-end audit as required for all public companies. Turning now to our outlook, as you’ve heard today, we’re focused on accelerating growth, reducing our cost structure to drive improved profitability, and replicating our North American playbook in international. Our guidance takes into consideration all the moving pieces, as well as the rapid evolution and volatility of a business that is just over four years old and operating in 48 countries. It should now be clear that we’re optimizing for growth, which may involve tradeoffs in the future between top line and operating income. As always, our results are inherently unpredictable, and may be materially affected by many factors, including a high level of uncertainty surrounding the global economy and consumer spending, as well as exchange rate fluctuations. Keeping in mind that the fourth quarter was a seasonally strong quarter for goods, for Q1 2013 we expect revenue of between $560 million and $610 million, as the mix of local increases. For the first quarter, we expect between an operating loss of $10 million and operating income of $10 million. Our outlook includes $30 million of stock based compensation expense. We do not currently anticipate any material acquisition related expenses in the first quarter. Now for the full year. We are still in the early stages of automation. As we make continued progress, we expect to make substantial efficiencies in our cost structure throughout 2013, particularly in the international business. As such, we currently expect that global operating income in 2013 will exceed that of 2012. With that, I’m going to turn it back to Andrew now for some closing comments.
Andrew Mason : We started Groupon in 2008 with a very simple value proposition: Every day we send you something great to do, see, eat, or buy, and make it available at 50-90% off. Since then, we’ve made dramatic improvements to that value proposition. Smart Deals makes our emails far more relevant. We’ve expanded into new categories, now with the infrastructure to procure not only local but also product and travel deals, adding freshness and variety to the Groupon experience and ensuring that Groupon never becomes boring for our customers. We’ve built a mobile experience that many people prefer to our web experience, as reflected in the massive shifts in usage patterns. And we’ve begun the process of moving beyond the in box with a searchable marketplace and inventory system that now accounts for about 50% of our local transaction volume in North America. These innovations helped us bring in a solid close to a great 2012 for Groupon: 35% growth in billings, 45% growth in revenue, 20% growth in units, 22% growth in active customers, our first full year of operating profitability, and a fourth quarter that, while operating margins have temporarily contracted, shows powerful signs of customer demand for what we’ve built. Despite their unpredictability at times, when we take a step back we’re quite proud of these numbers. 2013 will bring sharp focus to the customer and merchant experiences, which we believe is the healthiest and most durable way to grow our platform in the company. As we sit today, we remain better positioned than any company in the world to plug local commerce into the web. There are 60 million local merchants worldwide. 18 million of those merchants are in our core categories. Of these, we have contacted 2 million in our lifetime, and we have featured more than 500,000. So while we’re the largest player in mobile commerce, we’re just getting started. There is significant additional headroom for growth. And with that, I’ll turn it over to the operator for some questions.
Operator: [Operator instructions.] Our final question comes from Ross Sandler from Deutsche Bank.
Ross Sandler - Deutsche Bank: Jason, you said just a second ago that CSOI will be up in 2012. Can you also just help us with, from a planning perspective, what kind of billings growth and gross profit growth would need to be achieved to hit that goal? And then the second question is capex was up to about $40 million in the fourth quarter. That was above prior run rate. Was there additional capitalized software in there? And what do you think the cash flow run rate will look like going forward?
Jason Child : In terms of giving long term guidance beyond operating income, it’s just not something that I’m going to be able to provide at this point. What I can say is we do expect that the profit will come from the combination of both growth as well as improvements in operating leverage through tightening our cost structure, as we’re continuing to roll out automation, specifically in our international markets. In terms of the question about capex, you’re right, the largest increase was because of capitalized software, and much of that has to do with the efforts that you’ve seen. We talked just a moment ago about the efforts with the pull business, where we’ve done a lot of work from a technology perspective, and those costs were capitalized and now you’re starting to see the amortization increase with those efforts. And then I think there was also some additional costs that come from increasing storage capacity and data centers. And then I’d say the last thing is finalizing the implementation of our international headquarters in Switzerland, which went live at the end of Q4, was another piece of the buildout. In terms of cash flow guidance going forward, we’re not providing specific guidance. I would say you should continue to think about cash flow trending similarly with CSOI, or operating income less stock based compensation, and with any increase in capex offset largely by working capital.
Operator: Our next question comes from Justin Post from Merrill Lynch.
Justin Post - Merrill Lynch: First, can you talk a little bit about the goods margins? Obviously 3% in the quarter. And I saw your long term outlook slide, it’s much higher. How do you get there, and what kind of sourcing do you need to do to kind of get those higher? And then for the guidance for the first quarter, I guess it’s suggesting that the third-party business is up sequentially? Is that what’s going to really help profitability in the first quarter?
Andrew Mason : First, on the direct margins, let me kind of break that apart. We had a 6% direct margin in North America. And that is down from last quarter, when it was roughly 13%. The reason that you saw a reduction was primarily due to the goods business, where from a seasonal perspective we had a higher mix of lower margin product, very much related to the seasonal push on the types of products we wanted to sell and that customers clearly had shown indication to buy. But then also we implemented a free shipping program as well. And so those were the key aspects. I think you should still expect that our long term operating margin we think is still expected to be in the high single digits. One thing I want to make sure is clear is when you look at that 6% North America, make sure that when you’re comparing that to any other ecommerce companies, this does include shipping, it includes all fulfillment costs, inventory costs, even processing, email distribution costs. It includes basically everything but an allocation of the direct headcount costs to run a team as well as the marketing allocation. So there’s not a lot below that line to get to operating income. Now, the other piece was the international, which was actually negative. Now, the international direct portion is very small. It was only about $15 million, and it was negative because of basically some strategic deals that we sold below cost, having a couple of seasonally strong offerings in some of the newer markets where goods is still a very early stage business. Can you remind me what the guidance question was? It was mix?
Justin Post - Merrill Lynch : Yeah, it looks like you’re expecting the third-party business to maybe improve sequentially to help overall operating margins. Is that right? And what kind of growth are you hoping for in the third-party business in Q1 versus Q4?
Andrew Mason : That’s exactly right. We are expecting that you will see solid growth in the third-party business, and we would expect it to accelerate from what we saw in Q4. And that’s a less-seasonal business for us. That will be offset by a bigger reduction in the goods business, which now that it’s a $2 billion run rate, seasonality is now becoming a factor given we’re at that scale. As a result, when you see the reduction in the lower margin goods business offset by the acceleration in the higher margin third-party business, that’s why we expect to see improved operating leverage in Q1 versus Q4.
Operator: Our next question comes from Heath Terry from Goldman Sachs.
Heath Terry - Goldman Sachs: One question, first, for Kal. As you look at Groupon’s geographic footprint relative to the cost initiatives that you’ve got in the year ahead, how do you think about the footprint that Groupon carries versus the prior ecommerce businesses that you’ve been around? And then Jason, having gone through the process of resolving the material weaknesses, could you give us a sense, to the extent they were one-time costs in 2012 involved in resolving those weaknesses, to what degree we shouldn’t expect to see those in 2013? And then now that you’ve got those resolved, what you feel like you’re going to be able to do either from a disclosure or management standpoint that you weren’t able to do before?
Kal Raman : That is an excellent question. Groupon, we are doing something which is unprecedented in the world. We are not building a company, we are building a category. And simultaneously, we are building it all over the world. And it really poses a huge issue on executive bandwidth if you don’t have the processes and controls alike everywhere. And one of the biggest initiatives we have for this year is about getting the processes and efficiencies which we call as “One Playbook.” We are fully focused on rolling them out worldwide, and as we get there, I think the executive bandwidth we would need to exploit the [unintelligible] opportunity would be a lot less than what it has been in the last two years. But simultaneously, we are continuing to evaluate not just countries, we are continuing to evaluate every single market, every single city we are in, and to make sure that we are able to take care of the merchants and customers, more importantly our shareholders, by operating in each one of them. So this is an evolving question. This is a question we continue to ask ourselves every week, every month, every quarter, and we believe we are in the right place right now. But as we roll out our One Playbook in 2013, we’ll continue to evaluate it again and again to make sure that we build the best value for our merchants, customers, and shareholders.
Jason Child : And Heath, on your second question, about the material weakness, I guess there’s two things going on this year. One, we were working on remediating the material weakness, but we were also implementing Sarbanes Oxley, or SOX, as it’s our first full year as a public company. And so I would say we feel great about the progress we’ve made. In terms of how that’s going to affect things going forward, I would say one, from a cost perspective, a lot of the costs you saw had more to do with implementing Sarbanes Oxley across 48 countries, as opposed to the material weakness was really specifically around the financial statement close process. So it was really around a very small portion of the overall Sarbanes Oxley efforts. So I think the impacts are, you could see some reduced SG&A cost as a result of that effort that was mostly a 2012 effort, and then that also allows the audit process to be a little less intense as they now, the auditors, can rely on the integrity of the financial statement close process and have to do less auditing as a result. In terms of disclosure, it shouldn’t impact the disclosure at all, actually, going forward.
Operator: Our next question comes from Shawn Milne at Janney.
Shawn Milne - Janney Capital Markets : Just wanted to see if we could get a little bit more color on the North American take rates, just in the third-party business. You mentioned that you tested some things and you were trying different take rates during the quarter. I think in the prior calls you had said those had been pretty steady. I just wanted to understand the thought process around that, and how we should think about that going forward?
Andrew Mason : What you see in the fourth quarter in North America and the local business is investments in our strategy to increase selection on our platform. Again, we’ve increased our active deal counts in North America by over 300% in the last year, because we think it delivers a more relevant experience for consumers, and is in pursuit of our searchable marketplace strategy, where customers can come and find deals on demand and not just have them emailed to them. So part of that strategy is ensuring that we bring in new high quality merchants and that all of our merchants are comfortable having inventory available in a persistent manner on our marketplace. And the results are why we’re seeing such strong numbers in the local business, in terms of unit growth and overall demand billings growth in the fourth quarter, and through our guidance expecting that to accelerate even further into Q1. In the fourth quarter, because of some of these changes, we have added more merchants to our platform than I believe any quarter in history. And on top of that, in the fourth quarter the merchants that we signed, 84% of them are in our deal bank inventory, and still running deals today in our marketplace.
Kal Raman : And Shawn, one last point. We have given a long term guidance of local take rates to be at the high end of 30-40%, and as a result of these exercises, we are very comfortable with the long term guidance we have given on the local take rate in the 30-40% range.
Operator: Our next question comes from Arvind Bhatia with Sterne Agee.
Arvind Bhatia - Sterne Agee: I wanted to see what your thoughts are on, as we move more toward search marketing, one was the impact on the cost, and also, how does that impact a customer’s sense of urgency in buying the local deal, knowing that the deal might not always be there in your deal vault, if you will? Do you sense that a customer then, therefore, delays the purchase decision as a result?
Andrew Mason : I’ll start with the latter, and then I’ll let Jason take your question about cost. When we started this business in the first months of 2008, that sense of urgency of the deal being available for 24 hours might have played a role in people’s purchase decision, but all the research that we’ve done that has informed this strategy has taught us that through the proliferation of competitors and the availability of multiple deals through many different sources, as the space took off, that became less of an influencing factor in people’s purchasing decision. The reason that people buy Groupons is not some game mechanics. It’s because of the real value that these offers provide. We just believe that the potential of a local marketplace business, where you can fulfill demand instead of shocking people into buying something they had no intention to buy when they woke up in the morning, which we built a great business on top of, and only making it available for 24 hours, it’s just a much larger business opportunity. And the numbers, which I just articulated as part of the prior question, reflect that.
Jason Child : Can you restate the question on cost?
Arvind Bhatia - Sterne Agee : You were going to try to pull people over to your website, show up more in search engine marketing type situations. What is the cost of that to your marketing?
Jason Child : I would think of that cost as being baked into our marketing targets. What you’re talking about is more transactional marketing as opposed to what we’ve been doing a lot in the past, which is subscription or marketing to try to drive someone to sign up on the list as opposed to being driven to the site to purchase. But in terms of the overall dollars spent in marketing, we allocate those dollars based on whatever the next-highest ROI is, or the incremental ROI. And the current infrastructure that we have around driving more SEM, I would say, is still relatively small, and it’s mainly been constrained by the size of the overall inventory of deals. In other words, the more deal inventory you have, the more terms that you can buy. And then therefore the more likely potential SEM revenue you can purchase. So as we increased the total inventory from a little less than 10,000 deals a year ago, now up to around 37,000, we’re going to hopefully start to continue to increase that capability. In terms of the overall spend rates, we’ve told people historically that we expect to spend roughly 20% of revenue on a third-party basis on marketing, and more like 8% on a direct basis. And 8% and 20%, by the way, on a billing basis, they’re both about 8. So the difference is the take rate assumption. So we expect to still stay within those guidelines. Obviously we’ve spent a lot less in this most recent quarter, and so as we see the ability to drive more marketing spend to drive growth, we will plan on doing that.
Arvind Bhatia - Sterne Agee : One clarification. The comment you guys made about operating income growth in ’13 versus ’12, based on your first quarter guidance, it implies that you’re looking for significant acceleration in the quarters after the first quarter. Is that mainly as a result of better take rates? Or is there more to it? I would say there’s a couple of things. There’s the combination of increasing growth in the local business, specifically, which is the highest margin business we have. You’re going to see that business accelerate into Q1. And then the lower margin goods business, specifically the direct portion, will decelerate, as I mentioned earlier, because of the seasonality, the seasonal effect of coming off Q4 going into Q1. So that’s going to help in Q1, but going forward, we expect that because of the things we’ve talked about with mobile and with pull, you’re going to continue to see the local business continue to grow. So there will be overall growth that helps. There is some aspect of stabilizing take rates in the local business, where in Q4 we adjusted down a bit more than we did at the end of the quarter. And so as we’ve been fluxing and kind of trying to learn the elasticity on the revenue margin or take rate, we are confident that as we exited the quarter, it was the higher take rate that will allow us to have higher take rates overall in the local business, and within third-party, in Q1 versus what you saw in Q4. The last piece is Kal talked a little bit about how as we increased automation, you’re also going to see us reduce our cost structure. I also mentioned, I think, a few minutes earlier, to Heath Terry’s question, we’re also going to have less public company costs as we’re now past the soft compliance and material weakness remediation, so there will be some improvements in cost structure as a percentage of revenue as well.
Operator: Our next question comes from Jordan Rohan from Stifel.
Jordan Rohan - Stifel Nicolaus : I had a question for Kal. I’m wondering how you make sense of being in 500 different markets in 48 different countries. Clearly profitability would have to be higher if the bottom 10% or 20% of those markets were exited. How do you think about when those markets turn profitable, and whether you guys have gone a little bit too far to manage something on a long term profitability basis. And secondly, marketing is down a ton. I think it’s 60% year on year. But you guys still came in a little bit shy of profit expectations or significantly shy. How does this trend reverse? What’s going to make that happen?
Kal Raman : I think that’s a fantastic question. So, 500 markets, 48 countries. We did grow way too fast with way too many people. Because we wanted to gain market segment share. And we do have significant market segment share in most of the countries. We are on a constant exercise, on a regular basis, to make sure that at a country level, at an every single market level, do we have the right variable cost which would justify the right leverage or the top line on leverage. And we are going through that exercise as a part of the One Playbook for our international markets. And we will continue to flex it in a way that we are there to take care of the merchants and the customers and our shareholders in the right way. And it will be an evolving process. Like I said, international is a turnaround, and we are very happy with the progress, but by no stretch of the imagination is it done in one quarter, or it will be done in one quarter. But the progress we have made in the latest quarter, the acceleration in billings, which is the highest in the last five quarters, the productivity has been the highest, and we accomplished that while taking care of our merchants and customers. Because our merchant satisfaction, customer satisfaction scores have been the highest ever too. It gives me lots of confidence that we can not only grow, we can grow in a fiscally responsible way and [unintelligible] to shareholders. On the marketing question, I am going to ask Andrew to jump in and answer with me on that.
Andrew Mason : What you saw in the fourth quarter was the result of our recognition that there’s a few different ways we can drive growth in this business. We can invest in marketing. That’s one way. Another lever that we have is passing savings back to our merchant and customers through passing savings along to merchants, bringing higher quality merchants onto the platform that attract more customers. That is a reflection of our strategy to become a marketplace with a wide selection of deals. And we’ve seen the results pay off in having a record quarter in terms of unit and billings growth, with some of the strongest sequential growth that we’ve ever seen. So we’re expecting to use these two levers to continue to grow billings and revenues into 2013.
Operator: Our next question comes from
Brian Pitz - Jefferies & Company: You discussed direct revenue growth earlier. Any additional color on key drivers of direct revenue growth in each region internationally? And also, I may have missed it, but any update on average customer acquisition cost and LTV?
Jason Child : On the direct revenue growth, we said that we hit about a $2 billion run rate in the goods business overall, and so roughly $500 million for Q4. The direct revenue was roughly $225 million globally, and then within that, a little less than $15 million of it was in the international business. The remainder was in North America. Does that answer your question?
Brian Pitz - Jefferies & Company : The question was more of the color on drivers of that international growth.
Jason Child : The international growth, it was very small. It’s only 15%. And the reason why it’s very small is because we have not implemented all the same processes and the network around third-party logistic partnerships, like we have in the U.S., where we have kind of a group of preferred partners, which allows us to take ownership of inventory and kind of handle the full customer experience. As we expand those relationships internationally, you should expect to see that number grow from the $15 million, which was up just slightly from where it was in the previous quarter. But that’s going to be later in 2013.
Brian Pitz - Jefferies & Company : And any updates on customer acquisition costs and lifetime value?
Jason Child : In terms of the acquisition costs, if you use the marketing numbers on the face of the financials and the customer growth, you could extrapolate that. It was down around over 50% year on year. I’m sorry, we put it in the earnings release that it was actually down 61% year on year.
Operator: Our next question comes from Rohit Kulkarni from Citi.
Rohit Kulkarni - Citi: On mobile [unintelligible] business in North America, coming from there, any additional commentary you can talk about, customer acquired through mobile, how valuable they are, do they spend more versus other customers acquired through other channels? And second, any additional color that you can give on Groupon now in Getaway?
Andrew Mason : I will take the questions on Now and mobile, and then pass it over to Kal for Getaways. Mobile users, as we’ve said in the past, are better customers for Groupon than non-mobile customers. The data is very clear. They have a higher lifetime value, retention is higher of these customers. So the transition to mobile is a very good thing for Groupon. We’ve also seen it as a core component of our strategy to move from push email marketing to pull marketplace marketing. And the massive shift in consumer behavior towards mobile is one of the clearest signs that we see that our strategy is working and resonating with customers. Groupon Now, what you’re seeing with our search marketplace strategy is the evolution of Groupon Now, and we see innumerable signs that it’s resonating with customers. Now, over 50% of transactions in our local North American business are not from deals that launched in a given day, but from deals in our deal bank virtual inventory system. So the investments that we’ve been making in selection are paying off. We’ve also seen a large increase in the percentage of transactions that are customers seeking out Groupon, going direct to Groupon, and not being driven through a push email. Kal, do you want to talk about Getaways?
Kal Raman : Yes. Getaways is a fantastic segment for Groupon, and the business is fairly new. It’s been around for a little over a year. And our customers have been trained extremely well to look for curated deals with unbeatable value and we shock them into buying things they never thought when they wake up in the morning. And travel is actually the best way to shock people into taking a vacation, buying the deals they want to buy. And that business, we expect that to be a meaningful percentage of our business in the long run, but it is going to aid our third-party business in a very positive way. And we are very happy with the progress we are making. It is too early to declare victory, too early to report numbers on that as we talk.
Operator: And our final question for today comes from Tom White from Macquarie.
Thomas White - Macquarie: On the local deal margins, it seems like in the fourth quarter you guys made some concessions there to bring people more merchants, or higher quality merchants, onto the platform. Where are we kind of in that process internationally? Do you guys feel like you’ve balanced the members versus merchant experience there, or do we still have a few innings to go of balancing that out? And then just secondly, on goods, I was wondering if you guys were starting to see any signs of maybe trouble procuring discounted inventory from manufacturers and retailers as the macro seems to stabilize? How should we sort of think about that as the macro continues to kind of stabilize or trend up over the course of this year?
Andrew Mason : Let me first clarify on local margins in North America, then I’ll let Kal talk about how we’re doing internationally. In North America, one interesting thing to keep in mind that’s different between Groupon from most ecommerce businesses, is for a typical ecommerce business, 90% of your transactions are related to deals that you’ve struck with a supplier in prior quarters, out of period. The strange thing about Groupon is we’re always out there closing new deals, and the majority of our sales are coming from deals that we are closing in a relatively short timeframe. So as a result, as we make strategic shifts, one of the luxuries of our business is we can move margins around very quickly, and experiment with different ways to drive growth. So that’s why you see some of the movements, and we actually expect those local margins, just through what we saw in the back half of the fourth quarter and what we’re seeing in Q1. Those local margins in North America will go back up. In other words, even there, we are constantly learning and evolving and perfecting our approach. Do you want to talk about international?
Kal Raman : Thanks, Andrew. Like Andrew said, we can test and flex supply elasticity faster than many other ecommerce players. We were flexing and testing it with the only aim of attracting high quality merchants onto our platform. We did that in the United States. We did that in our international markets. As we emerged through the test in Q4, you could say we have kind of arrived at an optimal point which we believe remains very much in the range we gave to you a long time back, about the top half of 30-40%. And that’s where we’ll end up in both the United States and international. On the second question, on any trouble in accessing inventory from vendors in goods, actually we have absolutely no trouble. As a matter of fact, the vendor community likes us for multiple reasons. One is that we could we be their testing bed for launching new products. We could be their fastest way to push inventory on an end of life cycle product, and we could also be the fastest way to increase their inventory turns. So we could play with the vendors at the beginning of a product life cycle, while the product is in vogue, after the end of the product life, so the life cycle. And our issue is not getting access to the vendors, our issue is making sure that we curate deals in such a way that we can continue to delight our customers with our value proposition of freshness and high value for them.
Operator: And this concludes our conference call for today. Ladies and gentlemen, thank you for participating.